Kenneth Hsiang: Hello. I am Ken Hsiang, the Head of Investor Relations for ASE Technology Holdings. Welcome to our Fourth Quarter and Full Year 2022 Earnings Release. Thank you for attending our conference call today. Please refer to our Safe Harbor notice on Page 2. All participants consent to having their voices and questions broadcast via participation in this event. If participants do not consent, please disconnect at this time. I would like to remind everyone that the presentation that follows may contain forward-looking statements. These forward-looking statements are subject to a high degree of risk, and our actual results may differ materially. For the purposes of this presentation, our dollar figures are generally stated in New Taiwan Dollars unless otherwise indicated. As a Taiwan-based company, our financials are presented in accordance with Taiwan IFRS. Results presented using Taiwan IFRS may differ materially from results using other accounting standards, including those presented by our subsidiary using Chinese GAAP. As a reminder, we disposed of ASE Inc.'s China sites at the end of 2021. For our financial results presented here, in addition to our legal entity results, we have included information on a pro forma basis or as if the disposition of ASE Inc.'s China sites had already occurred. We believe the pro forma results give additional meaningful information, which would assist in providing comparability of our financial results. For the purposes of this presentation, we will generally discuss our full company and ATM fourth quarter results sequentially compared with third quarter legal entity results, and year-over-year compared with pro forma fourth quarter 2021. We will also discuss holding company level and ATM full year results compared with pro forma 2021. I am joined today by Dr. Tien Wu, our COO; and Joseph Tung, our CFO. For today's call, I will be going over our financial results. Tien will be providing our annual business recap and outlook, and Joseph will then provide the quarterly guidance. We will then have a Q&A session following the prepared remarks, where Tien and Joseph will be taking your questions. First, a short qualitative recap of what happened for our businesses. We entered the fourth quarter with the framework that the semiconductor manufacturing chain held an increased level of inventory to address higher pandemic-driven supply chain risk. At the time, we believe that towards the end of the fourth quarter 2022 and during the first quarter of 2023, many of our customers would be digesting inventories to a post-pandemic level. Effectively, we believed manufacturing orders to the supply chain would be reduced to allow for inventory levels to reach something similar to a pre-pandemic level. However, as the quarter progressed, many of our customers' outlooks continue to degrade. There were product inventories which appeared to be on track to being rightsized, or in certain cases, didn't even need to be adjusted at all. However, over the course of the quarter, it appeared that a significant amount of our customers continue to hold more than their desired level of inventory relative to the increasingly challenging demand environment. And while this situation does not necessarily change our view that the first quarter will represent the near-term trough, it does impact our view on the level of the bottom. We continue to see that the recovery starts in the second quarter, albeit how quickly we reach a full recovery remains somewhat difficult to ascertain. Before we get into the financial section, I would like to remind everyone that the information we are to present is basically a 3-month snippet of the company's performance as a global semiconductor downturn takes place. Our monthly revenues show the company running fairly regularly up until a rapid decline happened during December. December was operationally a less than ideal month, as such, we believe comparability of this quarter to previous and the year ago quarter will probably be somewhat limited. And while we would always like to see a strong order environment, quick upturns and downturns are inherent to the industry. We understand that many investors and industry analysts are interested in prognosticating the exact duration and severity of this current down cycle. However, the precision for this doesn't necessarily exist as the environment continues to be somewhat dynamic and dependent upon factors not easily quantifiable by us and others alike. Despite this, we do know that within this type of environment, our resources are best spent extending our competitive advantages and thereby preparing for the next upturn. More about this from Dr. Wu after the financial section. With that, please turn to Page 3, will -- you will find our fourth quarter consolidated results. For the fourth quarter, we recorded fully diluted EPS of TWD 3.57 and basic EPS of TWD 3.77. Consolidated net revenues declined 6% sequentially and improved 7% year-over-year. We had a gross profit of TWD 34.1 billion with a gross margin of 19.2%. Our gross margin declined by 0.9 percentage points sequentially and increased by 0.3 percentage points year-over-year. The sequential margin decline is principally a result of lower unloading in both our ATM and EMS businesses. The annual increase is primarily the result of higher profitability from our EMS businesses and a higher mix of ATM revenues. Our operating expenses were flat during the fourth quarter while increasing TWD 1.6 billion year-over-year to TWD 14.3 billion. The annual increase was primarily related to a higher scale of operation. Our operating expense percentage increased 0.5 percentage points sequentially and year-over-year to 8.1%. The sequential operating expense percentage increase was primarily related to lower revenues during the quarter. The annual OpEx percentage increases are primarily due to lower revenue with lower G&A costs offset by increased NPI costs and higher headcount. Operating profit was TWD 19.8 billion, down TWD 3.9 billion sequentially while up TWD 1 billion year-over-year. Operating margin 11.1%, declining 1.5 percentage points sequentially and down 0.2 percentage points year-over-year. During the quarter, we had a net non-operating gain of TWD 0.4 billion. This amount includes net interest expense of TWD 1.1 billion. Tax expense for the quarter was TWD 3.6 billion. As we mentioned last quarter, our effective tax rate tapered down a bit during the fourth quarter to 18%. During the quarter, we were able to apply certain beneficial tax rates related to high technology initiatives. Net income for the quarter was TWD 15.7 billion, representing a decline of TWD 1.8 billion sequentially and an improvement of TWD 1.2 billion year-over-year. The NT dollar depreciated 4.18% against the U.S. dollar during the fourth quarter. From a sequential perspective, we estimate the NT dollar depreciation had a 1.03 percentage point impact to the company's gross and operating margins. From a year-over-year perspective, we estimate that the depreciating NT dollar had a 3.16 percentage point positive impact to gross and operating margins. As a rule of thumb, for every percent the NT dollar appreciates, we see a corresponding 0.25 percentage point impact to our holding company gross margin. On the bottom of the page, we provide key P&L line items without the include of PPA-related expenses. Consolidated gross profit, excluding PPA expenses, would be TWD 35 billion, with a 19.7% gross margin. Operating profit would be TWD 21 billion with an operating margin of 11.8%. Net profit would be TWD 16.9 billion with a net margin of 9.5%. Basic EPS, excluding PPA expenses, would be TWD 4.05. Please refer to Page 4. Here, you will find the 2022 consolidated full year results. As mentioned earlier, we will be comparing against pro forma 2021 full year results, which exclude the disposed China sites. Fully diluted EPS for the year was TWD 13.94 while basic EPS was TWD 14.53. For 2022, consolidated net revenues grew 23% as compared to 2021. ATM revenues grew 21%, while EMS revenues grew 26% annually. Gross profit for the year was TWD 134.9 billion, increasing TWD 29.9 billion year-over-year or by 28%. In 2022, our gross margin improved 0.8 percentage points to 20.1%, principally as a result of favorable foreign exchange environment for both our ATM and EMS businesses. Operating expenses increased TWD 8.7 billion for the year and came in at TWD 54.8 billion. We were able to lower our operating expense percentage by 0.3 percentage points to 8.2% for the year. Operating profit for the year increased TWD 21.2 billion or 36% to TWD 80.2 billion for the year. Operating margin for the year was 12%, representing an improvement of 1.2 percentage points over 2021. We recorded a net non-operating gain of TWD 1.5 billion for the year, including a net interest expense of TWD 3.3 billion. Total tax expense was TWD 16.4 billion. The effective tax rate for the year was 20.1%. We continue to believe our ongoing effective tax rate to be about 20.5%. Net income increased by 37% to TWD 62.1 billion. On a full year basis, we estimate that the depreciating NT dollar had a positive 1.5 percentage point impact to gross and operating margins. Removing the effect of PPA depreciation, our gross margin would be 20.7%, our operating margin would be 12.7%, our basic EPS would be TWD 15.62. On Page 5 is a graphical presentation of our consolidated financial performance. You can start to see the impact of the start of the inventory digestion here. Weaker revenues and a suboptimal environment are impacting both our ATM and EMS businesses. On Page 6 is our ATM P&L. There's worth noting here that the ATM revenue reported here contains revenues eliminated at the holding company level related to the intercompany transactions between our ATM and EMS businesses. For the fourth quarter 2022, revenues for our ATM business was TWD 94.3 billion, down TWD 4.5 billion from the previous quarter and up TWD 9.1 billion from the same period last year. This represents a 5% decline sequentially and a 11% increase year-over-year. Our ATM revenues came in at about our expectations. Gross profit for our ATM business was TWD 26.2 billion, down TWD 2.6 billion sequentially, while up TWD 1.9 billion year-over-year. Gross profit margin for our ATM business was 27.8%, down 1.4 percentage points sequentially and 0.7 percentage points year-over-year. The sequential gross profit margin decline was the result of lower loading and offset in part by the depreciating NT dollar. On an annual basis, without inclusion of our fourth quarter 2021 bonus reclassification, our ATM gross margin would be down 0.3 percentage points. This decline is related to reduced loading levels, resulting in relatively higher utility and material related expenses, offset in part by a favorable foreign exchange environment. During the fourth quarter, operating expenses were TWD 10.4 billion, up TWD 0.2 billion sequentially and TWD 1.3 billion year-over-year. Sequentially, higher operating expenses were from higher NPI-related costs, while the year-over-year increase was primarily driven by higher NPI costs and higher base of operations with higher employee headcount. Our operating expense percentage was 11%, up 0.7 percentage points sequentially and 0.5 percentage points year-over-year. During the fourth quarter, operating profit was TWD 15.8 billion, representing a decline of TWD 2.9 billion quarter-over-quarter and an improvement of TWD 0.6 billion year-over-year. Operating margin was 16.7%, declining 2.2 percentage points sequentially and 1.2 percentage points year-over-year. For foreign exchange, we estimate that the NT U.S. dollar exchange rate had a 1.9 percentage point impact on our ATM sequential margins and a 5.7 percentage point impact on a year-over-year basis. Without the impact of PPA-related depreciation and amortization, ATM gross profit margin would be 28.7% and operating profit margin be 17.9%. On Page 7, we have our ATM full-year P&L. 2022 revenues for our ATM business increased by 20%, with our Packaging business and Test business up 20% and 22%, respectively. Even on a reported legal entity basis, our ATM business increased 11%. This effectively means that our ATM business more than made up for the revenues lost from the -- China's entities disposed of in the fourth quarter of 2021. Gross profit for the year improved 27% to TWD 105.9 billion. Gross margin was up 1.6 percentage points, primarily as a result of higher loading and efficiency and NT dollar depreciation. Our operating expense percentage declined 0.1 percentage points to 10.6%. The decline was primarily the result of a higher revenue base. Operating profit improved 32% to TWD 66.4 billion, with operating margin improving 1.6 percentage points to 17.9%. For foreign exchange, on a full year basis, we estimate that the strengthening NT dollar had a 2.7 percentage point impact on margins. Without the impact of PPA expenses, gross profit margin would be 29.4% and operating margin would be 19.1%. On Page 8, you'll find a graphical representation of our ATM P&L. You'll note here the impact of our semi-fixed cost base. As sales declines, not all costs are able to be scaled down. On Page 9 is our ATM revenue by market segment. There is no change here. On Page 10, you will find our ATM revenue by service type. There isn't a significant change here. It may appear that our wirebond business has come down a bit faster than our advanced packaging services. However, historically, seasonality of advanced packaging tends to be stronger than wirebonding in the fourth quarter. You can see the fourth quarter and full year results of our EMS business. During the quarter, demand was impacted by an overall weaker demand environment, supply chain issues and inventory destocking, resulting in weaker-than-anticipated revenues. During the fourth quarter, EMS revenues declined TWD 6.8 billion or 7% sequentially, while increasing TWD 2.4 billion or 3% year-over-year. Our EMS business's gross and operating margins sequentially declined 0.8 and 1 percentage point, respectively. These sequential declines were primarily driven by lower than expected loading during the quarter, resulting in unplanned operational inefficiencies. On an annual basis, our EMS gross and operating margins improved 0.6 and 0.3 percentage points, respectively. These annual improvements were primarily the impact of foreign exchange. On a full year perspective, our EMS business revenues increased 26%. The increase was broad-based, with our traditional EMS somewhat outperforming our SiP business. Gross profit increased 35%, full year gross margins improved by 0.6 percentage points, and operating profit margins increased by 1 percentage point. On Page 12, you will find a graphical representation of our EMS revenue by application. Outside of our Automotive segment, all other segments declined from softer loading during the quarter. On Page 13, you will find key line items from our balance sheet. At the end of the quarter, we had cash, cash equivalents and current financial assets of TWD 65.6 billion. Our total interest-bearing debt was TWD 202.3 billion. Total unused credit lines amounted to TWD 346 billion. Our EBITDA for the quarter was TWD 35.9 billion. EBITDA for the year was TWD 140.3 billion. Net debt to equity was 43% at the end of the year. On Page 14, you will find our equipment capital expenditures. Machinery and equipment capital expenditures for the fourth quarter in U.S. dollars totaled $339 million, of which $121 million were used in packaging operations, $183 million in test operations, $25 million in EMS operations and $10 million in interconnect materials, operations and others. For the full year, machinery and equipment capital expenditures were $1.7 billion, $0.9 billion was spent on Packaging, $0.6 billion on Test and $0.2 billion on EMS and others. Given the overall slowdown within the industry, we have also taken action to reduce our Packaging capital expenditures for the year. However, we continue to believe we have the capability to gain share within the Test marketplace, and as such, we have not actively reduced our Test investments. Current quarter EBITDA of $1.1 billion relative to our capital expenditures of $0.3 billion continued a pattern of a somewhat slower approach to equipment capacity expansion. You can see larger gaps starting in the third quarter of 2021. For the full year, out of $4.7 billion EBITDA generated, machinery CapEx was $1.7 billion. For the near term, we of our machinery capital expenditures should stay more at a similar reduced rate. With that said, I'll pass the presentation over to Dr. Tien Wu.
Tien Wu: Hi, everyone. I would like to give you a 2022 recap. The 2022 revenue and margin improvement achieved our targets. ASE ATM revenue grew 13% year-over-year. Here, I'm referring to everything in U.S. dollar term, also on a pro forma basis. The 13%, we believe, is more than twice of the logic semiconductor industry growth. The 2022 ASE ATM gross margin, operating margin was 28.5% and 17.9%, respectively, surpassing historical peak levels of 27% and 16.6%. 2022 ASE consolidated revenue grew 16% year-over-year. 2022 ASE consolidated operating margin improved 1.1 percentage points year-over-year, with net profit growth of 29% year-over-year. 2022 advanced packaging revenue grew 27% year-over-year, test revenue grew 15% year-over-year, momentum continues in mid to long term. 2022 consolidated automotive revenue grew 50% year-over-year, achieving $1.6 billion. 2022 ATM automotive grew also 50% year-over-year, reaching close to $1 billion milestone. I would like to give you 2023 outlook. ASE continue will be industry outperformer. With enhanced structural profitability, we expect ASE ATM first quarter 2023 revenue to be subseasonal due to industry destocking. However, ATM business should trough in the first quarter, followed by sequential quarter-to-quarter growth for the remaining of the year. With multiple market uncertainties, 2023 ATM revenue year-over-year will range from flattish to high single-digit decline. Expect higher mix of advanced packaging and test business. We also expect continuing market share growth due to increased semiconductor complexity, IDM outsourcing and also our smart manufacturing offering. We reiterate ASE ATM annual structural gross margin of mid-20%s to 30%. We believe ASE is late to fall, early to rise during this market correction because scale, technology leadership, flexibility, also the proven record, make ASE an indispensable manufacturing partner, resulting in more resilient pricing and expanding lead against our competition during this volatile market timing. ASE's global footprint gives strong competitive advantages in current geopolitical environment. ATM, we have high-end supply chain in Taiwan. We also have a group of diversified capacities in China, Korea, Malaysia, Singapore, Japan. EMS supply chain, primarily in China. We also have diversified capacities in Taiwan, Vietnam, Mexico and Europe. Future expansion will be planned based on customer and end market requirements. Capacity expansion continues in second half of 2023, although at a slower rate comparing to 2022. However, more expansion in building infrastructure and smart manufacturing, preparing for the next cycle. Further improvement of cash flow based on disciplined capital investment, scale efficiency and sustained profitability. I will pass the floor to our CFO, Joseph.
Joseph Tung: Thank you, Tien. Well, echoing what Tien just mentioned, with the aggressive destocking and software end demand, we are looking for a softer-than-expected trough first quarter, both in terms of revenue and margin performance. However, at this point, we are seeing signs of improvement, including increasing NPIs, seizing forecast revisions, some rush orders and continued pricing resiliency. We are now of the view that things will turn up from second quarter, with decent recovery and further ramp up to full capacity in the back half of the year. Now based on our current business outlook and exchange rate assumptions, management projects overall performance for the first quarter of 2023 to be as follows. In NT dollar terms, our ATM first quarter 2023 business levels should be similar with pro forma second quarter 2021 levels, which was TWD 72.7 billion. Our ATM first quarter 2023 gross margin should be above second quarter 2019 gross margin, which was 18.6%. For EMS business, in terms -- in NT dollar terms, our EMS first quarter 2023 business levels should decline high single digit year-over-year. Our EMS first quarter 2023 operating margin should be similar with first quarter 2021, which was 2.5%. Now with that, I gave you the first quarter guidance. Thank you.
Operator: Now we would like to open the floor for questions. [Operator Instructions] We have a question from Mr. Gokul Hariharan.
Gokul Hariharan: Yes. Can you hear me?
Operator: Yes.
Gokul Hariharan: Okay. First of all, can I ask a little bit, I think Q1 clearly is quite weak. It looks like you're seeing most of the order cuts coming through in Q1. Quick question on gross margins, I think it looks like gross margins are declining about 800 basis points or so. Could you help us understand how much of that is primarily a utilization cyclical thing versus are you also having to give up some pricing in the downturn, so how do we think about the gross margins? And given that you're expecting recovery starting from Q2, how cyclical are gross margins going to be? When you talk about the mid-20%s to 30% gross margin, do we kind of fall within that range for 2023 overall as well, or is that a long-term guidance and not so much for 2023? That's my first question.
Joseph Tung: Well, we're still holding on to the structural margin that we mentioned earlier on. I think we are very confident that throughout the year, we can continue to maintain a 20% -- mid-20% to 30% gross profit margin for ATM business. And also for EMS, we continue to target a 4% and above operating margin. In terms of the margin erosion in the first quarter, I think mainly, it's really from the volume because of the lower loading and also impacted by NT dollar appreciation versus fourth quarter '22. I think the price -- ASE has very, very minimum -- ASE has very, very minimal impact on the overall margin performance in the quarter.
Gokul Hariharan: Understood. That's very clear. My second question, could you talk a little bit about what are you hearing from your customers that gives you the confidence that we get back to sequential growth in Q2? Could you give a little bit more color on any subsectors or any particular areas where you're starting to see these rush orders, or like customers kind of coming back at a more accelerated pace in terms of demand when we think about Q2 and beyond?
Tien Wu: Our confidence in the second quarter pickup are primarily based on the -- our conversation with -- actually all customers. And starting December, as a matter of fact, the destocking effort started quite early in 2022. Different sectors have gone through different pace of their destocking effort, so I will not comment too much detail in that. What we're seeing today is some sector seems to accomplish their short-term target, and they start to have rush order, and we have seen that in January. Also, we have seen some forecast revision upward. Now in terms of the pricing environment, if we believe there is a sustained downturn, then we believe that the pricing pressure should be worse than what we're seeing today. And there are quite a few reasons why we believe this is the case. If you look at the Industrial and Automotive, we continue to see strength. Also, our light-out factories provide very high quality and consistent high reliability output. So that part of the business, we continue to see strength, and we are seeing the consumer sector to going through some of the destocking efforts. In December, the -- as well as Q1, they have gone through very severe destocking effort. And with all indicators, by talking to our customers, they believe the normal shipment should resume in second quarter.
Operator: Next question is from Mr. Randy Abrams.
Randy Abrams: Actually, I'll ask 1 follow-up to it, just with that across customer pickup. First quarter was a much sharper decline, especially versus outlook a few months ago. Do you see that prospect in second quarter starts resuming quite a strong pickup, or do you still see its kind of gradual rebound where it's much more a second half-weighted year?
Tien Wu: That is -- that remains to be same, all right? So today, we are -- we have high confidence the second quarter will pick up, and we believe the pickup should at least be double digit. That's what we know today. Now the forecast is actually stronger, however, the -- we would like to be a little bit more conservative right now.
Randy Abrams: Okay. So do you expect it to be a double-digit pickup from this lower first quarter?
Tien Wu: Correct.
Randy Abrams: Okay, good. Okay. And then I wanted to ask actually the mix, the -- you expect the advanced packaging and test to outgrow relative this year. Just -- if you take the 2 areas, are there certain areas you're seeing on the advanced side? Is it like the traditional mobile, or do you see anything -- there's a lot more attention to things like the AI, if you're seeing the HPC pick up? And then I'm just curious on the mainstream, it's been weaker for a while, where that's at? Is that lagging on the pickup, or do you think they have further to go?
Tien Wu: We are seeing the strong pick up in the second half for both sectors, based on the NPI activities.
Randy Abrams: Okay. And for -- and just 1 other application. The automotive, which has been very strong, does it look like you kind of avoided the downturn just given share gain? And because you mentioned that's still stronger, any signs or worries about that segment that it's -- it will follow in the other areas? Just curious how -- I think last year, at the start of the year, you expected 40% growth in delivery, at least that. But how auto looks, and if you see any maybe flags that they're kind of an elevated inventory, or the strength looks to continue?
Tien Wu: Well, right now, the automotive remains to be very strong, and we are looking at the continued growth in 2023 for the full year. But in terms of percentage right now, it's very, very difficult to make that judgment call. But we are seeing strong forecast.
Operator: Our next question is from Ms. Laura Chen.
Unknown Analyst: Can you hear me?
Operator: Yes.
Unknown Analyst: Yes. I also have a follow-up question on the gross margin. Aside from the lower utilization rate and also the foreign exchange impact, I'm just wondering that it's more due to the lower loading, bumping or wirebonding? Or could you also give us some utilization rate for different applications or technology, is that possible?
Joseph Tung: I think the overall margin erosion is across the board because of the lower loading that we're facing now. But in terms of different services, I think advanced packaging is doing relatively better than wirebonding at this point. And I think across the board, the margin structure is pretty similar across different services.
Unknown Analyst: Okay. And also my follow-up question is on the testing business. Could you remind us what's the current internal supply or internal percentage of the testing business, and do you see that will further grow for the coming years?
Joseph Tung: Internal supply?
Unknown Analyst: Yes. Sorry, I mean the testing business portion internally. Like, we previously mentioned that we were -- strategy to increase our testing business and the equipment, I'm not sure if that will continue the direction.
Joseph Tung: I think in '22, I think the test portion of the business continue to grow a little bit, still hovering around 15%. And with the growing momentum, we believe that in 2023 or this year, that ratio will continue to rise. So we -- in this year's CapEx, I think the compensation will be a little bit different from last year. In terms of the overall CapEx for ATM -- for the group, roughly 55% is for assembly and then 35% is for test. I think that would -- that's going to change this year to 44% and 38%. So the investment in test will continue at a faster pace than the assembly.
Operator: We have a question from Ms. Vian Chu of Daiwa.
Rick Hsu: Yes. This is Rick. No worries, I'm using my associate's name. So right. It's a housekeeping. Can you provide your utilization rates across the board of packaging, bumping and testing for Q4 last year and Q1 this year?
Joseph Tung: I'd say last Q4, I think as we expected, it's around 80% across the board. But for this quarter, I think it's really not very meaningful to talk about utilization at this point, because the destocking and the soft demand has been driving our loading quite substantially. So I don't think it's really meaningful at this point to report these numbers for this quarter.
Rick Hsu: Okay. So basically, suboptimal, right.
Joseph Tung: Right.
Rick Hsu: Yes, a quick follow-up, yes? Right, suboptimal. So a quick follow-up. Based on this low loading in Q1, and I guess, the logic affects your gross margin for ATM. And apart from that, you also mentioned about the currency exchange for Tier 3. And anything else that's dragging down the gross margin for ATM? Is -- would that be coming from the pricing?
Joseph Tung: Yes. As I mentioned, the pricing impact is very, very minimum. In fact, in the first quarter, we have gone through a round of pricing negotiation and the -- as Tien mentioned, I think we are still maintaining our pricing resiliency.
Operator: Next question is from Mr. Szeho Ng of China Renaissance.
Szeho Ng: Gentlemen, I have 2 questions regarding the CapEx this year. Can you share with us the CapEx breakdown by your major site locations?
Joseph Tung: Let me get back to you on this.
Szeho Ng: Okay. No problem. And regarding the CapEx spending at the first half compared with the second half, how to remodel here?
Joseph Tung: I'm sorry?
Szeho Ng: I mean the spending pattern, first half compared with the second half of this year?
Joseph Tung: Spending pattern. I think the bulk of the investment will be made in the second half of the year. Maybe with the 45:55 type of split.
Szeho Ng: Okay.
Joseph Tung: Let me ask a question. Did you -- were you referring to site type of...
Szeho Ng: At the location. Let's say, China, Taiwan, Korea, the cash breakdown.
Joseph Tung: Okay. I'll pass it to the numbers, later for you.
Szeho Ng: Yes. Very rough breakdown review.
Joseph Tung: Okay.
Operator: Next question is from Mr. Brad Lin of BoA.
Brad Lin: I have 2 questions. One is on the outsourcing trend from the IDM, and secondly is on the ABF substrate. So the first question is that are we foreseeing a larger outsourcing trend from maybe a, well, global-leading IDM? And then should we expect any tech or capacity difficulty if the order really come? And then second question would be on the ABF substrate. Is the ABF substrate supply turning loose in this year? And also, is the ABF cost trending lower recently, and should we expect it to turn tighter again when demand come back in second half of the year or 2024?
Tien Wu: The IDM outsourcing, I think a good example would be the automotive business because automotive business traditionally are being conducted within the IDM, the front-end and the back-end capacity of the facility. We continue to see the automotive business and the industrial business to move up in this environment. That lead us to believe that either we are processing something the IDM cannot do or they prefer not to do it. I think the light-out factory, as well as some of the advanced technology, are good examples. So I think that trend will continue. The ABF substrate situation, the supply is better. I will not say that we're completely out of the supply constraint situation. I will not comment on the pricing, because the pricing is quite dynamic.
Operator: We have a question from Mr. Bruce Lu of Goldman Sachs.
Zheng Lu: Can you hear me?
Joseph Tung: Yes, we can hear you.
Zheng Lu: Yes. I think the first 1 is for the smart manufacturing. I mean, I think this is the first time the company was talking about that. Can you be more specific what is the tradition of smart manufacturing? What's the revenue contribution from the smart manufacturing? What kind of profitability for that, and what kind of growth should we expect for the smart manufacturing in 2023?
Joseph Tung: Well, it's basically fully-automated factories that we have. We sometimes call it unmanned factory or lights-out factories, means everything is on automated lines. And right now, we have about -- at the end of '22, we have 36 lights-out factories already, and we're going to 44 factories this year. We will continue to make further investment into automating our manufacturing capacity. I think the -- in terms of the revenue contribution, the capacity represents about 15% of our overall ATM in 2022, and it's going to increase to close to over 20% this year.
Zheng Lu: 22% increased to 20%?
Joseph Tung: No, 15% to 20%.
Zheng Lu: Okay, okay. Sorry about that. Okay. Good. I think the next question is for the SiP business. I mean, I understand that you might have the inventory corrections for the last year's product or whatever, right? Can you talk about the -- what kind of like new SiP projects can we expect for this year onwards? What kind of SiP revenue growth is excluding -- well, that's excluding the first quarter abnormal situation, what kind of like SiP growth outlook can we expect there?
Joseph Tung: Well, I think by and large, I think it's going to be a more challenging year in terms of our SiP business for the year given that it's, first of all, mostly in the consumer sector, and that's still going through a lot of turmoil at this point. And so it's still a lot of uncertainties in front of us. We believe, in longer-term sense, the trend will continue as we continue to see further heterogeneous integration. But in terms of how much growth or how much business we will have in terms of SiP for this coming year, I think that remains to be seen. But by and large, it's more challenging than last year. But we are still making pretty good progress in terms of expanding our project as well as with new customers at this point.
Operator: Next question is from Ms. Sunny Lin of UBS.
Sunny Lin: Could you hear me?
Operator: Yes.
Sunny Lin: So my first question is to follow up on the smart manufacturing. So if we look at fully-automated fabs versus your traditional fabs, how much margin expansion could you expect?
Tien Wu: The margin expansion is difficult to quantify because the smart manufacturing, it is easier to gain business when you have a fully-automated factory. Also, the business you're gaining tend to be requirement on high reliability. So we do have some tangible as well as intangible benefit from the fully-automated manufacturing. We also provide customers with the full transparency of all of the data that go with the automated manufacturing. If you are thinking about the margin expansion, I believe the -- since we started building the first automated factory, the margin continues to improve. I think all of the margin improvement has been revealed in the previous years of margin expansion. As I've indicated this year, we have -- last year, we had 1%. If you go back to the 2021, 2020, and then we'll continue to have margin expansion.
Sunny Lin: Got it. And maybe a quick follow-up on your full-year EMS outlook. You provided some growth expectation for IC ATM, I wonder if you could also provide us some color on EMS as well?
Joseph Tung: Well, I think -- yes, USI has reported 2 days ago. I think what they're projecting is that this year will be a flattish to a slightly-downward year. But it really depends on the -- how the overall economic situation in China turn out, they still believe that they will have a chance of a small growth for the year.
Operator: Next question is from Mr...
Joseph Tung: I'm sorry. I think they are also expecting sequential growth on a quarterly basis over the year.
Operator: Next question is from Mr. Gokul Hariharan of JPMorgan.
Gokul Hariharan: So first of all, on the CapEx for this year, could you give us a little bit more color how much CapEx is likely to be down year-on-year, given your more conservative stance and spending? And also, any idea -- are customers asking you to have capacity more built up outside the Greater China region, especially Southeast Asia? And any request from clients also to go to maybe U.S. or other locations in terms of the supply chain diversification, especially for ATM?
Joseph Tung: Okay. So ATM last year, we had total machinery CapEx of around $1.6 billion, a little -- about $1.6 billion. And this year, I think it's going to be a few hundred million dollars below that number for this year. But as I reported earlier on, the composition of such CapEx would be a bit different. It will be more test heavy this year than last year. The composition will be 44%. At this point, we're looking at 44% to 45% for assembly and then 38%, 39% for test, about 10% to 11% for EMS and the rest for material. And also to answer the earlier question about site allocation. I think in terms of different regions, in Taiwan, we will have roughly 65% of the CapEx being spent in Taiwan sites, 25% or lower in China and roughly 10% for the rest of the world.
Tien Wu: Let me comment on the geographic locations for the ATM part of the business. As you know, in the next few years, majority of the high-end packaging wafers will continue to be out of Taiwan. So when we talk to our customers, it is very clear that we will focus on the execution to make sure all of the advanced packaging demand get fulfilled. There is no question about the integrity of the Taiwan supply chain. Let me comment on -- customers do have requirements for expanding capacity outside of Taiwan. The proposal today depending on working with each customer on their requirements. We have made announcement that we will be continuing to be the capacity expansion in Malaysia, Singapore and Korea. Some of the factories will expand traditional packages to make sure the customer does have flexibility to have order fulfilled in Taiwan or outside of Taiwan. For the high-end advanced packaging outside of Taiwan, the first question we need to ask is the source of the wafer. Until that question's get answered, it is really not a real question. There has been a lot of conversation in terms of in future when the advanced wafer is ready, how do we fulfill? Then we're talking to each customer regarding the source of the wafer, the number of the wafers, the required advanced packaging type and also the necessity to be fulfilled with indeed different geographic locations. So it's a very, very convoluted conversation right now. But I do acknowledge that the ASE is under a lot of attention, negotiating or discussing with the multiple layers of customers as well as agencies regarding the future requirement. However, that is a longer-term implementation. For the shorter term, we are expanding facilities to make sure the -- if a customer requires anything to have flexibility, it will get fulfilled within our current footprint. We do acknowledge the possibility of expanding our footprint, ATM, other than the current facility that we have. Geographically, we do acknowledge that. However, that will be longer term.
Gokul Hariharan: Understood. That's very clear. If I may ask 1 more question. Could you talk a little bit about ASE's current exposure and presence in 2.5D and 3D packaging? You already have some HPC customers who are already ramping up their 2.5D and 3D offerings, and it seems like this is starting to become a little bit more adopted. So could you talk a little bit about ASE's environment? We do hear a lot of foundry environment, but just wanted to also get about ASE's involvement in this area? And any kind of exposure in terms of revenue, et cetera, that you could share?
Tien Wu: The 2.5D, it's a very, very long engagement history of ASE. And I think we're the first one to produce the -- one of the leading edge product with 1 of our key customers. We present the first generation machines using 2.5D, and there has been ongoing development with almost all of our customers, tried to polish the 2.5D, the fan-out and also different form of fan-out as well as the different form of chiplet in 3D. That's a major initiative of the whole company, and I can only say that we will continue to be very interested and very engaged with all of our customers as well as a foundry partner, and a big growth business. Our customer would like to have the -- all of the flexibility, all of the possibility out of the channels, and ASE is committed to be one of the channel to fulfill the customers' requirement, working with customers as well as our partners in foundry.
Operator: We have a question from Mr. Bruce Lu of Goldman Sachs.
Zheng Lu: I have a question about the SiP geographical production. I think that your SiP production is highly, highly concentrated in China. I mean, do you have any plan to expand like other capacity, or do you have the customer requesting you to have additional ex-China capacity?
Joseph Tung: Yes. Actually, this is a work in progress. We already have something set up in Vietnam, and it has started mass production already. And we will continue to look at our customers' request to further expand within or outside of China to suit our customers' needs.
Zheng Lu: So what kind of capacity outside of China in 2 years, like 20%, 30%, or?
Joseph Tung: Right now, I think the overall in terms of non-China production is about 35% of the company's revenue.
Zheng Lu: Yes. But you have to exclude the AFG one?
Joseph Tung: Yes, that includes AFG.
Zheng Lu: How about excluding AFG? Because I don't think AFG can do SiP, right?
Tien Wu: 25%. 25%.
Joseph Tung: It's roughly 25%.
Zheng Lu: I see. So 25% of SiP's capacity will be outside of China in 2 years. Is that the right expectation?
Joseph Tung: Right.
Zheng Lu: Okay. Another question is we do see that your EBITDA is much higher than the CapEx number. I mean, you have improved that for the last say, 7, 8 quarters already. Can we expect a much higher payout ratio in 2023 and onwards, because the cash flow generated is impressive.
Joseph Tung: I know this is coming. We will maintain our payout ratio of 60% to 65%.
Zheng Lu: I'm sorry, I won.
Tien Wu: We hope -- I think it's important to keep the transparency and clarity on the payout ratio. We said it's 60% to 65%, and that number is there.
Zheng Lu: I see. Understand. So the excess cash flow will mainly be used for -- to improve the debt ratio, or?
Joseph Tung: Right now, I think we still need to fund our overall operation, including CapEx. And not just on the machinery side of it, we're also expanding quite a bit in terms of our buildings and land. Actually, last year alone and continuing in this year, we'll be spending more than $800 million for real estate as well. And also, we did lower our leverage quite a bit last year. So at the end of the year, we only have a net debt-to-equity ratio of 43%, which we believe is more health -- it's a healthier level. Going -- and looking at this downturn or market softness, we do want to have a better reserve in terms of our cash to see because there could be consolidation opportunities as well. So I think that's the general picture of our overall test situation.
Tien Wu: Just a sign out. If you look at in the past 20 years, every single downturn, ASE gained share without any exception. I'm not saying that this is a downturn, but we are going through a correction. It can be 1 quarter, it can be 2 quarters. Right now, we have high confidence we will also gain share in this correction. Then the question is the next op cycle. I know it's a little bit long term, but this is what the operator needs to think about it. How do we expand our footprint as well as land space, facility space. Because keep in mind, in the COVID days, in the previous 2.5 years, we have literally depleted all of the factory reserved space because of the high demand. We are going through Q1 destocking effort, but let's not forget the longer-term horizon in case semiconductor will resume the path of GDP plus. ASE resumed the path of gaining share. In the next few years, we will need more building space in Taiwan as well as outside of Taiwan of different technology. And also, if you look at NPI, right now, there's a lot of very exciting new applications and new technology, and all of which will require a lot of attention and investment. So I believe that, yes, ASE is very mindful of the short-term cash management as well as the payout ratio. But also, I think for the shareholder as well as for the semiconductor industry, we really need to be mindful of the long-term potential. And ASE really would like to be a responsible partner to make sure we fulfill all of the possible scenarios.
Operator: [Operator Instructions] We've got a question from Bruce Lu of Goldman Sachs.
Zheng Lu: Well, I have another question. Sorry about that. I just have 1 more. TSMC was talking about like sales and value for their product, which the geographical location is a value. I think as you mentioned, like ASE has the most diversified capacity globally in all kind of different countries and cities, which is the value, right? Do you consider to sell this value, which means that you increase your price in your overseas capacity?
Tien Wu: The value, how do you define the value? The value is really the service the -- as well as the quality and the timing that you provided to customers. And I believe the -- you are correct. There could be 1 scenario where the timing, the location would present. It becomes a tangible value for the customers. But all of these are in the making. The fact that we are expanding over -- we're expanding Singapore and Malaysian footprint, and they were also creating a mirror side of some of the facilities from Taiwan to overseas, that secure the long-term partnership and further gain the confidence from our customer that ASE is willing to do whatever it takes to make sure the local, the customer, the regulatory requirements are fulfilled. Does that present a value long term? Yes. Now, with that value, can we only reflect the value from a pricing increase? I'm not exactly sure because NPI, the every generation, 8 months or 18 months, I think the business is really look at the technology partnership, volume partnership, and I think it goes much, much deeper than ASE.
Zheng Lu: I see. I mean, for -- I would say from the -- at least what TSMC were saying was like, they just charge a different pricing in different geographical location. I mean, of course, I understand that the value includes a lot of things. And the investors in general are more simplistic, that -- can we expect some of the pricing differential among the different capacity geographical locations?
Tien Wu: I'm not sure. I'm not sure what is the politically correct way to answer that question. My apologies, all right. So I'm sorry, I'm going to pass that question.
Zheng Lu: Okay. I understand that.
Operator: [Operator Instructions] There is no more questions on forum.
Joseph Tung: Okay. Thank you, everyone.
Tien Wu: Thank you very much. Happy Chinese New Year.
Kenneth Hsiang: Okay. Bye-bye.